Spencer Wang: Good afternoon and welcome to the Netflix Q1 2021 Earnings Interview. I am Spencer Wang, VP of IR and Corporate Development. Joining me today are Co-CEO, Reed Hastings; Co-CEO and Chief Content Officer, Ted Sarandos; COO and Chief Product Officer, Greg Peters; and CFO, Spence Neumann. Our interviewer this quarter is Nidhi Gupta from Fidelity. As a reminder, we will be making forward-looking statements and actual results may vary. With that, let me turn it over to Nidhi for her first question.
Q - Nidhi Gupta: Thanks, Spencer. Thank you all for having me. Great to be with you and thank you all for all the great work over the years. It’s been great for us to be on this journey with you as shareholders. So with that, let’s just jump right in. Obviously, you were comping a really big Q1 last year with [16 million] [ph] net adds. The net adds this quarter came in below your expectations and below the Street’s expectations. Any additional color you can provide on what caused this?
Spence Neumann: Hey, Nidhi, it’s Spence. I guess I will take this one first. Hopefully, you can see it. So, it looks like it’s a little frozen, maybe it’s just frozen on our end. But look, so in terms of Q1 performance, it really boils down to COVID frankly. As you know, the extraordinary events of COVID have had a big impact on the world, continue to have a big impact on the world. And for us, at a minimum, creates just some short-term kind of choppiness in some of the business trends that we see in our business. So in particular, we had this huge pull forward in 2020 in terms of our subscriber additions, nearly 40 million paid net adds in 2020. And we also had a near global shutdown in production, which we have been ramping safely and at scale through much of last year and into this year, but it did push some key title launches into the back – kind of the back end of this year. So, the combination of those two things does create some noise. It’s super hard to obviously kind of forecast quarterly subscribers in a typical quarter for us and particularly hard in this environment. In fact, on Page 2 of our earnings letter, we show our actuals relative to forecast, which in our guide is our internal forecast for subscribers. And because it’s our forecast, we are going to miss every quarter. It’s just a matter of whether they are bigger or smaller misses. And you can see, over the past 5 years, our biggest kind of misses to forecast either up or down, the – most of those big misses and the biggest ever in the past five quarters relative to the past 5 years and that was these five quarters of COVID. So it’s just a difficult time to forecast the business. But the key is the business remains healthy. Our engagement, our viewing per household was up year-over-year in Q1. Our churn was down year-over-year and the business is still growing. So, even at 4 million paid net adds if you kind of take COVID out and look over the past 2 years, we have grown from 2 years ago at about 150 million members to almost 210 million now. So that’s nearly 40% growth and about just under 20% over an average over each of those 2 years, which is in line with the past couple of years. So, the business remains healthy and that’s because the long-term drivers this big transition from linear to streaming entertainment and that remains as healthy as ever. But you do see little kind of noise in the near-term, but a lot of long-term priority.
Nidhi Gupta: Thank you. That’s helpful.
Reed Hastings: Nidhi, we had those 10 years where we are growing smooth as silk and then just a little wobbly right now. And of course, we are wondering – well, wait a second, are we sure it’s not competition, because obviously, there is a lot of new competition. And we really look through all the data, looking at different regions where new competitors are launched or not launched. And we just can’t see any difference in our relative growth in those regions, which is what gives us confidence that it’s intensely competitive, but it always has been. I mean, we have been competing with Amazon Prime for 13 years, with Hulu for 14 years. It’s always been very competitive with Linear TV, too. So there is no real change that we can detect in the competitive environment. It’s always been high and remains high.
Nidhi Gupta: Well, it’s encouraging to hear that your churn was actually down year-over-year and you did announce some price increases in Q4 and Q1 in a few markets. So, maybe just talk about how well the subscriber base is [indiscernible] these price increases in the current environment?
Spence Neumann: Sure. Greg, do you want to go first?
Greg Peters: Yes. So we are seeing results that are very similar to what we have seen over the last 2 years, which is that if we wisely invest in great stories and we increase the variety and the diversity and the quality of our program, which Ted’s team is assiduously trying to do in every country around the world. We also invest in better product experiences that make it more delightful and easy to connect with those stories. We are just delivering more value to our members. If we do that well, then we can occasionally go back and ask them to pay a little bit more to keep that positive cycle going. And so having said that, I just want to reiterate we think we are still an amazing entertainment value. We want to remain an incredible value compared to our competitors and the competitive offerings that are out there broadly. So even as we continue to improve the service, we got that in mind and we want to make sure that we are accessible to more and more people on the planet through that process.
Spence Neumann: Great. And Nidhi, the only thing I would just add to what Greg just said I agree with all that is just very specifically in terms of what we see in the numbers on the churn side. Our churn is actually below pre-price change levels already in the U.S. and in most of the markets and where we have adjusted prices and just some of the newer ones haven’t come all the way back down, but they are rapidly getting there.
Nidhi Gupta: That’s great. Can you talk a little bit about what you are expecting in terms of subscriber growth as the world reopened, if there is anything you are seeing in your more open versus less open markets that would sort of give you a window into this, but how are you thinking about that and what sort of basis you [indiscernible] that?
Reed Hastings: Well, tragically, Nidhi, many countries have opened and closed over the year and we have got many countries right now that are in real crisis, fortunately, the U.S. not one of them right now. So we have got a lot of evidence on that point. And there was the initial surge of COVID, which was quite large in subscriber growth and viewing. But since then, every opening and closing, including the U.S. over Christmas, really didn’t generate any noticeable material effect. So, I don’t think there is any material effect we are going to notice about future openings and closings again, because we have been through in many countries, pretty intense surges, unfortunately.
Ted Sarandos: Yes. And the only thing I would add I guess to Reed’s point to specific to your question on the Q2 guide, Nidhi, is related to that, it’s very similar to what we saw in Q1 is what’s reflected in Q2 in terms of still working through that pull forward, still working through some of the pushed slate of some of those big titles into the latter half of the year. And also, it’s a bit of a seasonally soft period for us. So, those are all playing into it. But the good news is that the core underlying metrics are very healthy and there is this clear catalyst to a reacceleration of growth and towards that back end of the year as those big titles start to launch and strength of slates and we come out of that pull forward, so feeling good about the long-term trends.
Nidhi Gupta: Do you feel like Q1 and Q2 sort of encapsulate the pull forward that you are expecting? I know it’s really hard to forecast when you add 26 million subscribers over the course of two quarters last year. But just how are you thinking about how the second half might shape up with the additional content as well as maybe some of the pull forward behind us?
Ted Sarandos: You guys want me to take it? 
Reed Hastings: I just say one of the things to keep in mind is that we normally – what we have to do kind of day in and day out, week in and week out, year in and year out is deliver programming that our members love and value. And the shape of that gets determined sometimes 2, 3 years in advance. So, you go into these production cycles, you are going to planning cycles. And you have got a pretty smooth release of high-profile projects and smaller kind of passion projects and all those things. And what happened, I guess in the first part of this year is a lot of the projects we had hoped to come out earlier did get pushed because of the post-production delays and the COVID delays in production. And we think we will get back to much steadier state in the back half of the year and certainly in Q4, where we have got the returning seasons of some of our most popular shows like the Witcher & You and Corporate High as well as some big tentpole movies that came to market a little slower than we had hoped, like Red Notice with The Rock and Ryan Reynolds and Gal Gadot and Escape from Spiderhead with Chris Hemsworth, a big event content. Now all that being said, in every quarter of the year, we released more content than we did in the previous quarter – in the previous years quarter-by-quarter and in every region is just I think the shape of the mix of the content is become a little more uncertain. And then the long-term impacts of the COVID shutdown are also becoming a little more uncertain in that timeframe in the first half of this year.
Nidhi Gupta: Great. Well, I would love to shift to the big picture, now that I have beaten you up about the quarter enough. So you are at over 200 million subscribers around the world. You are 5 years into your original content strategy. You seem to be coexisting really well with possibly the largest direct competitor you might ever see. And you are self-funding, thank you for that. We did notice. Maybe just talk about with that backdrop, key priorities to view in 2021 and really just the next 2 to 3 years as you see them, maybe we can start with you, Reed.
Reed Hastings: Probably your reference was to Disney, but our largest competitor for TV viewing time is Linear TV. Our second largest is YouTube, which is considerably larger than Netflix in viewing time. And Disney is considerably smaller, but we are sort of in the middle of the pack. But in terms of what we focus on, it’s the same things that we have always focused on, which is our member satisfaction, drives retention, word of mouth that drives our growth. So, it’s where can we find the story that you talk about even more that you connect with, where can we improve our choosing, where the best things are recommended for you and then ultimately, the content of can we have stories that are just incredibly compelling. And we are just quarter-by-quarter, learning more lessons on each one of those which is what improves the member satisfaction, which is what really drives the growth.
Ted Sarandos: And I would say one of the things to keep in mind is, over the years, media companies have been really great at exporting Hollywood content around the world. And I think I am proud of how we have done that as well. So, it was like Bridgerton with over 100 million starters and movies reaching these enormous audiences all over the world. But the one thing that we really have done, really have sharpened our skills on the last couple of years has been creating content from anywhere in the world and playing it all over the world. And the great thing about that is, as those look those stories that are coming from all over the world, like we saw with [Lupin] [ph] this year, this quarter was our biggest new series on Netflix in the world was [Lupin] [ph] from France. And the show was not like a Waterdown French show. It was a very French show. And what’s really been great about it is as you tell stories from around the world. Those to the more authentically local they are, the more likely they are to play around the world because people recognize the authenticity of the storytelling. And that’s something that we have been really focused on as well as continuing to offer a very big variety of content from Hollywood to the world as well. But we have got new seasons of really popular shows from around the world like Elite in Spain, La Casa de Papel coming up, the Naked Director from Japan, which has been an enormous hit for us, Gift from Turkey. So our ability to do this around the world at scale and be able to bring those stories to a big global audience is something that we are really incredibly proud of, and we will keep working on over the next couple of years.
Greg Peters: I will pick it up from there. I am also super excited about that aspect of our business to find stories from around the world and connect them with audiences around the world. And a companion piece of that is making sure that we increasingly are understanding what our members needs and sort of the members we haven’t signed up, consumers’ needs generally in more and more countries. And they all have sort of unique constraints that they are working through. They have unique expectations from the service. And our job is to learn more and more and more about what those are and make sure that we are being able to offer the service in a way that feels natural that feels delightful to them. Whether that’s having the right payment method, so that they – consumers don’t have to think about what hoops they have to jump through to actually sign up and pay for the service, to how we present the content to them regardless of what country it comes from or what language it’s in, but present it in a way that allows them just to get into the story of it and realize the plenty and the amazing diversity of storytelling that exists across the planet.
Spence Neumann: Yes. I think everyone has pretty much hit it, Nidhi, I will try to add. I mean I get super excited about just this giant transition to streaming entertainment and streaming is, entertainment is, it’s the now and the future. And we talked a little bit in the letter about our business and how it’s transitioned over the last 10-plus years from DVD, by mail to streaming from U.S. only to global and from licensed content to original production, but what’s helped is just our velocity of decision-making and our focus has served us well, and there is just we are sitting here where we are still less than 10% TV view share even in our biggest markets. So, there is just a big long runway of growth if we stay focused and keep getting better. And so I just – I love the opportunity to keep kind of continually getting better, improving our creative excellence, our operational excellence and just maintaining that speed and velocity even as we get larger as a company.
Spencer Wang: And on the IR side, Nidhi, I would say my main job is to continue to make sure you are happy as well as our other shareholders. But I think what that means is just making sure that you all understand what we are doing and why we are doing it from a strategic standpoint. In my broader finance role, supporting expense on the finance side, just to make sure that we are allocating capital as wisely as possible and then continue support, Ted and Greg and the other business units from a finance support standpoint.
Nidhi Gupta: Great. So Ted, I would love to dig a little bit deeper with you. [Indiscernible] has been a recent success for Netflix, 36 Oscar nominations, congratulations. That’s an incredible feat. So, my question is, over the long-term, do you think that it can be the primary or dominant way that people consume films and if so, what does it take to achieve?
Ted Sarandos: I don’t know about dominant, but I would say it’s going to be a continually material way people view films. This is where the audience is kind of going. And what we find is that we are not really kind of changing the way we make films for the way people watch films. So they are watching the kind of films, they would have gone out to the theater to see, but in many cases, in the convenience of their timetable and the comfort of their home, where they can really enjoy a great new film. And it could be a film of enormous scope certainly competitive to the kind of things you see in the theater. You mentioned the Oscar success, and that’s certainly one flavor of filmmaking that we are super proud of. Most of we had 17 different films within Oscar nomination this year, which is super incredibly exciting. But also the fact that we can do these very large-scale action movies that audiences love around the world at the same level that are being produced for the theater. So, I do think that, that’s going to continue to be more and more meaningful to viewers that’s how as to what percentage of the films that they see in or out of the home.
Nidhi Gupta: So over the years, you have been really successful at getting a high share of kind of most watched TV shows, whether I look at IMDb, top shows or remote search shows on Google. Do you have to do anything fundamentally different in film to achieve that same level of high share sounds?
Ted Sarandos: Yes. It’s not dissimilar and that people just have very diverse taste. So, you really kind of want to try to own in. We have always kind of set out to do with your favorite film, your favorite show, whoever you are, wherever you are and whatever mood you are in. So, that’s why we kind of go out of from so many different angles. It’s a very unusual thing where you have man sitting next to the Tiger King on the shelf for most media companies, but we have very specialized teams that focus on being best-in-class of each of those things that they do. And that’s how I think why we have had those results you are talking about.
Reed Hastings: And Nidhi, I think we would say too, we would want to need to spend more. So we spend a lot more right now in series than film, but that will grow as the total budget grows. And then it’s also the experience curve we have been doing series longer. And when more dialed in about what goes really big and what hits, and we are getting their own film. And also on animation, also on kids, each of these have their own experience curve that we are progressing at.
Nidhi Gupta: Can you share any more details about the Sony deal, what – I guess more specifically, what is the rationale for the deal and what does it get you that your original doesn’t achieve for you?
Ted Sarandos: Yes. Well, what’s really exciting about the deal is that we are going to be producing global original films from Sony’s IP library in their development slate for Netflix. That’s really an incredible opportunity, access to IP that we wouldn’t otherwise have. And it’s part – it’s a big global programming strategy over the next 5 years. The domestic Pay 1 deal that is also part of that, I think complements and adds to – but only for our domestic subscribers over for 5 years. And we do think that, that’s a great thing, and it complements our growing output of original film as well. And we have had their output prior in through other deals over the last several years, it’s been great. There are great films and people have diverse taste, like I said, and I think this adds to that doesn’t compete with it.
Nidhi Gupta: Great. Greg, switching gears to pricing. Your price range around the world has really widened over the years. But the reality is in terms of willingness to pay, there is probably households in the U.S. that are willing to pay you $50 a month. And then in households in India that can’t pay you more than $5 a month. So, assuming over the long-term that you can sort of match F1s willingness to pay around the world, what do you think your revenue distribution will look like across these different price points?
Greg Peters: Well, as you pointed out, our spread has been growing wider and I think that, that’s part of that story. We are really trying to find a set of plan types with the right kind of features. And we know folks are – some folks have gigantic TVs at home, and some folks are watching on their mobile phones. Some folks are approaching the service as an individual. Some folks are approaching as a family. So there is just so many different needs out there. And so we are really going to try and match those feature sets at the right price points to that really wide group of folks. And we know that, that inevitably means that we are going to really sort of see an expansion of that. And an important part of that is making sure that we are continually looking at how do we broaden accessibility. So, how do we bring in price points that are low enough for more and more of the world’s population to be able to access the service to enjoy the kind of amazing stories that that we are creating. You have seen us do that with rolling out the mobile plan, for example, in several countries in Asia. That sort of we find a good balance of features and price points. We are going to just do more and more of that. But I think the broad trajectory is the one that you have seen, which is a widening of the breadth of our offerings and price points associated with them.
Nidhi Gupta: Related to that, your investment – content investment in Asia has ramped up pretty significantly. I think you announced this quarter, $500 million in Korea, 40 new films and series in India. Obviously, Japanese anime continues to ramp. I am curious what’s sort of giving you the confidence to invest this aggressively in Asia, particularly in a market like India, which is still below share of global GDP and willingness to pay for premium content teams?
Ted Sarandos: Well, remember, I think it’s – the product market fit is what we are always looking for. Now we are programming the service in a way that consumers value it and love it. And it’s a bit of trial and error at the beginning of each of the territories as we have rolled out. Remember, we started launching in international territories with no original programming in local language with local producers. And now we are producing in most corners of the world. And I do think our confidence in investment in Korea and India and Japan has been the success of the investments to-date and that it gets us closer and closer to that product market fit than we have in our more mature markets. So, I do think like – and what we have seen in our Korean originals and our Japanese anime is that they play really well around the region as well as in country. And occasionally, they could be very, very global in their interest and desire. And the fact that we can bring a global audience to those creators in each of the territories has been really attractive.
Reed Hastings: And, Nidhi, we have had enough success in Japan and South Korea for you guys to think about it like Germany or France, like it’s a big developed rich market. We have got that wired. India, we are still figuring things out. And so that investment takes some guts and belief forward-looking. But the other investments you should think of, just like rich European countries content exports really well and we are just getting a little better every month on it.
Spence Neumann: Yes. And I will just add to that, you can kind of see that in the numbers too Nidhi and what we released on the regional numbers. The APAC region was about a third of our member growth this quarter and also still kind of healthy revenue growth, including average revenue per member. And that’s in part because as the – as we are also – as we improve the service as engagement is up, and churn is down, we can occasionally take price increases, as Greg mentioned. And that happened recently in Australia, New Zealand and Japan. And I think our members are clearly appreciating the value of what we are delivering them. So, the business is scaling, scaling well.
Nidhi Gupta: Yes. That’s helpful. So Reed, is that gut or belief when it comes to kind of these lower ARPU or just the new wear market, is that – but eventually, you will be able to play the kind of low ARPU high-volume strategy or is it over the long-term, incomes will rise in these markets, ARPUs will rise and the math will sort of work?
Reed Hastings: I think on that, we are still learning. We have done some pricing experiments in India that Greg can talk about. And I would say we are still mostly focused on getting a content fit and getting broader content. So that’s why I would say that one is a more speculative investment than, say, Korea or Japan, which again, 5 years ago was very speculative when we did those, okay. But we have got – we are over the hump on that. We have got a great match. And we are still working on India, and we’re super exciting. And again, right now, this month, things are terrible in the COVID spike. But outside of that, we’ve been really producing a lot of great new content that’s currently shut down. Greg, do you want to talk about like Jio or any of that?
Greg Peters: Yes. And maybe a couple of things there, Nidhi, we recognize that it – we don’t know a lot yet compared to how much we’re going to learn over the next many, many years. And so our job is to really try and be innovative and push an experiment. And so whether that is pushing on the actual model in terms of like multi-month or sachet and sort of explore the ranges of that kind of offering. But then also something that we’ve seen that is quite successful for us and pretty much all the markets we serve around the world is leveraging go-to-market partners who have existing relationships with consumers as a way to expose them to the Netflix service and then have them make it easy to pay. And of course, the ultimate and easy to pay is it’s just included the sort of bundled offerings that we’ve been doing more and more of, and Jio is a great example of a partner we’ve been working with there to really bring the service to a new demographic at a very, very low price associated with low-cost mobile plans that they are offering as well as home-based IPTV plans. And those have been successful for us as well. So it’s constantly just trying to push on all those different engines and really figure out. What is that right price point, the right offering in the right way that works for the local members and consumers.
Ted Sarandos: I’d just add that India is a tremendous opportunity. And I think Netflix offers a tremendous opportunity for the creative community to connect with the enormous audiences. And it’s just like all great opportunities. It’s a long journey, and it’s a challenge. And we think it’s worth it. And that’s why we’re investing early and trying to stay ahead of it. And I think we will be able to see those kind of results that we’ve seen in other places in the world as we continue to learn more and more and more.
Nidhi Gupta: Great. Well, I’m a big consumer of your Indian content, so keep a comment. Greg, you’ve started to run some tests and in certain markets, I think maybe just the U.S. on limiting account sharing. Can you talk about the size of the opportunity here, and why now is kind of the right time to ask start tightening the screws on that?
Greg Peters: Yes. First of all, we recognize that our members are in different positions again, they have different needs from us as an entertainment service. And we’re really seeking that sort of flexible approach to make sure that we are providing the plans with the right features and the right price points to meet those broad set of needs. So we’re going to keep doing that. We’re going to keep working on that, working on accessibility across all of the countries that we serve. But we also want to ensure that while we’re doing that, that we’re good at making sure that the people who are using a Netflix account who are accessing it are the ones that are authorized to do so. And that’s what this sort of line of testing is about. It’s not necessarily a new thing. We’ve been doing this for a while. You may see it pop up here and there in different ways, but it’s sort of the same framework that we use. I think you’re familiar with and so much of how we think about continuously improving the service, which is we iteratively work. We use the tests and the test results to inform and guide how we proceed and just sort of continually try and make that better and better.
Reed Hastings: And, Nidhi, we will test many things, but we would never roll something out that feels like turning the screws as you said. It’s got to feel like it makes sense to consumers that they understand. And Greg has been doing a lot of great research on kind of how to try variants that harmonize with the way consumers think about it.
Nidhi Gupta: Are there any particular markets where the subscriber or the user to subscriber ratio was particularly high?
Greg Peters: I think different – every market, every country is different, and so we see different ranges of behavior. And I think just how people orient themselves to the service is different from country to country. So I want to – it’s more than just sort of how they think about how maybe they are working the system or so forth, how did they think about sharing the service with an extended family or people that they love is a natural part of how they connect with the stories that we’re telling. So it’s all different around the planet, and it’s different within countries, too, as you might well expect.
Nidhi Gupta: If this were a gap that you could close over the very long-term, do you think that there is a bigger revenue opportunity in getting some people to pay more through limiting account sharing or getting everyone to pay more of your kind of [indiscernible], is like which is the bigger revenue opportunity over the [indiscernible] 10 years or however long it takes to sort of start closing the gap?
Greg Peters: What I would say is I think the optimal revenue opportunity, optimal business opportunity is trying to figure out a way to best serve our members and trying to figure out the models, the plan types, the right price points, the right features that really work for them in a natural way. And that really is what’s informing sort of our investigational exploration. I would say we don’t really know as most of the – it’s often the case when we’re sort of going down a path of innovation what the right place to land is our priority. That’s why we do this experiment and then we do the iterative approach. So it’s mostly letting that process unfold and letting our members speak to us about what’s really the ideal model for them.
Nidhi Gupta: Great. That makes sense. Spence pushing gears to you. Now that your balance fee doesn’t keep me up night anymore, I can ask much more fun question, which is, will you do with all the excess cash. You’ve been at $1 billion which is great to see. Maybe just talk about the orders and sort of payments of this particular buyback. And just how do you think about philosophy over the next couple of years?
Spence Neumann: Yes. Sure, Nidhi. So as we’ve said in the letter in the last couple of letters now, we’ve We think we’ve turned that corner. We know we turned the corner on that cash flow story. So we expect to be about cash flow breakeven this year and then sustainably free cash flow positive and growing thereafter. And so – and we don’t intend to build up a bunch of excess cash on the balance sheet. So we will maintain a debt level, a gross debt level in a $10 billion to $15 billion range. We paid down about $500 million, in principal in Q1. So we – our gross debt did come down from the prior quarter. And we think that share buybacks are a way to return value to shareholders in a way that is responsible steward of capital, but also maintains a level of balance sheet flexibility for us to continue to be strategic. Because first and foremost, our number one priority is to invest strategically into the growth of the business, but then, of course, return excess cash to our shareholders. So we’re still maintaining a goal of about 2 months of revenue is our kind of cash on the balance sheet. And you’ll see us ease into that share buyback program. So it will start this quarter. As I said, I think you’ll see us ease into it. And we’re authorized up to $5 billion of share repurchase, and we will kind of get the program going this year.
Nidhi Gupta: Great. Reed, you’ve remained incredibly focused over the years. I remember you telling me recently just the importance of keeping the main thing, the main thing, which has obviously led to a lot of success for Netflix. But when I look forward to the next 10 years, which I realize is a very long time, but if you continue to be successful adding, call it, 30 million subscribers a year, you’ll be at well over 500 million subscribers in 10 years, which feels like a high level of penetration. So I guess with that backdrop, how important is it to sort of have a second app versus continuing to let the business mature and focusing on capital return.
Reed Hastings: Well, YouTube and Facebook and those properties are a multibillion and the Internet is only growing. So where we so fortunate to get to those numbers that you referred to, we’re going to be super hungry to double from there going forward, too. So outside of China, I think pay television peaked about 800 million households. So lots of room, and that was several years ago that it peaked lots of room to grow. So think about it as we do want to expand, so like we used to do that thing shipping DVDs. And luckily, we didn’t get stuck with that. We didn’t define that as the main thing. We define entertainment is the main thing. And so then we expanded into – they had expanded us into original content. And first, it was original series and then films and the animation and kids and unscripted. And so bit by bit, we’re adding category. So we’ve got a lot of work to do in terms of different types of entertainment that we will continue to do that. A lot of work in terms of global production. So I don’t think there will be a second act in the sense that you mean like AWS and Amazon shopping. I bet we end up with one, hopefully, gigantic, hopefully, very defensible profit pool. And then continue to improve the service for our members by doing that by expanding in category. So I wouldn’t look for any big large secondary pool of profits. There’ll be a bunch of supporting pools like consumer products that can be both profitable and can support the title brands. So that’s an obvious one.
Spencer Wang: And, Nidhi, we have time for two last questions.
Nidhi Gupta: Great. So I mean, just to follow up on that, people often view gaming as kind of a natural extension or adjacency for you. That’s obviously still within the entertainment category, as you mentioned. And what ways is that through or untrue and is there a way to do gaming in sort of the Netflix tile [indiscernible] came from that world?
Reed Hastings: Exactly. In ways we’re kind of in gaming now because we have Bandersnatch and we have some very basic interactive things. But Spence, and then Greg, maybe talk a little there.
Spence Neumann: Well, I’ll probably let Greg mostly go. I would just say it kind of ties to what you what Reed said. I mean, we’ve kind of dabbled in it already through some of our interactive programming as well as on the licensing and merchandising side in consumer products. And we’re a business that continues to learn. And so far, learning has been it’s been good learning’s. We’re happy with how it’s played out. And hopefully, we continue to kind of learn from here. But I don’t know, Greg, if you want to add to that?
Greg Peters: I’ll just take one more sort of point at it, which is that we’re in the business of creating these amazing deep universes and compelling characters and people come to love those universes and they want to immerse themselves more deeply and get to know the characters better and their back stories and all that stuff. And so really we’re trying to figure out what are all these different ways that we can increase those points of connection. We can deepen that fandom. And certainly, games is a really interesting component of that. So whether it’s gamifying some of the linear storytelling we’re doing like interactive Bandersnatch and the kids interactive programs, that’s been super interesting. We’re going to continue working in that space for sure. We’ve actually launched games themselves. It’s part of our licensing and merchandising effort, and we’re happy with what we’ve seen so far. And there is no doubt that games are going to be an important form of entertainment and an important sort of modality to deepen that fan experience. So we’re going to keep going, and we will continue to learn and figure it out as we go.
Nidhi Gupta: Great. Well, if we have time for one more. And my last question is just over the last five earnings calls, how many times would you say Ted has used the word site guys?
Reed Hastings: We like a lot.
Nidhi Gupta: I only noticed it because I was listening to the three things.
Ted Sarandos: It’s a good word. Nidhi, you have to admit, it’s a good word.
Nidhi Gupta: Actually have a real last question, would you?
Ted Sarandos: Yes.
Nidhi Gupta: Of your Oscar-nominated films this year, which did you most enjoy watching. And I can go first, mine was White Tiger.
Ted Sarandos: I am going to diplomatically pass the question to Reed.
Reed Hastings: It was Chicago 7 for me.
Ted Sarandos: White Tiger for me.
Greg Peters: Chicago 7 for me.
Spence Neumann: White Tiger for me too.
Spencer Wang: So I don’t completely went about. You should take the time and watch a really beautiful animated short that’s Oscar-nominated called if anything happens, I love you. That is really, I think, a remarkable bit of storytelling in a way that people can really expand the universe of what they think storytelling could be. And Ted, maybe you could wrap us up.
Ted Sarandos: Awesome. Well, thank you so much, Nidhi, for joining us for the call and walking us through this. I know that our – what we’re busy doing. And I know that some folks are on edge today watching the news and [indiscernible] and pockets of the world like our friends and colleagues in Brazil and India are having a particularly tough time. I know that our hearts and thoughts are with you as well, but thank you. We will see you next quarter.